Operator: Good day, and welcome to the RF Industries Fourth Quarter and Full Year 2023 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] On today's call, management will provide prepared remarks and then we'll open up the call for your questions. [Operator Instructions] Please note, this call is being recorded. I would now like to turn the conference over to Margaret Boyce, Investor Relations for RF Industries. Please go ahead ma'am.
Margaret Boyce: Thank you Matthew. Good afternoon, everyone and welcome to RF Industries fourth quarter and full year fiscal 2023 earnings conference call. With me today on the call are RF Industries President and CEO, Rob Dawson; and CFO, Peter Yin. Before I turn the call over to Rob and Peter, I'd like to cover a few quick items. We issued our earnings release after market today. It's available on our website at rfindustries.com. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that except for the historical statements, statements on this call today may constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When used, the words anticipate, believe, expect, intend, future, and other similar expressions identify forward-looking statements. These statements reflect management's current views with respect to future events and financial performance and are subject to risks and uncertainty and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include the risks and uncertainties discussed in the company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. RF Industries undertakes no obligation to update or revise any forward-looking statements. Additionally, throughout this call, we will be discussing certain non-GAAP financial measures. Today's earnings release and the related current report on Form 8-K describe the differences between our GAAP and non-GAAP reporting. With that said, I'll now turn the conference over to Rob Dawson, CEO. Rob, please go ahead.
Rob Dawson: Thank you, Margaret. And thanks everyone for joining our fourth quarter and fiscal 2023 year-end earnings call. Fiscal 2023 was a tough year to navigate for RFI, and frankly for any supplier downstream from Tier 1 wireless and telecom companies that significantly cut back their capital spending and our financial performance reflects that. That said, we're pleased to report that in Q4 we saw a 400 basis point uptick in our gross profit margins sequentially from Q3, even though revenue remained relatively flat. Improvements in gross margin are a direct reflection of our cost cutting and efficiency initiatives, as well as a better mix of higher margin products in the quarter. While we don't expect the current environment to radically improve in the near term, we are seeing some encouraging signs. Our backlog of $16.1 million as of October 31st was healthy as we entered fiscal 2024, and backlog currently stands at $16.6 million as of today. Importantly, we're now having meaningful conversations with customers around bigger project opportunities that were put on hold in 2023. And we're seeing our sales pipeline progress and some of these deals are finally closing. Many of these opportunities are for new higher margin, higher value products like DAC thermal cooling and small cell shrouds. Winning a handful of these projects would have a big impact on our financial performance, especially with our reduced cost structure. It's been a six-year journey to strategically transform a 40-year-old business into a sustainable growth company by offering a broader mix of key communications products, while diversifying our customer base. We continue to offer our long-standing portfolio of world-class core interconnect products, while adding technologically advanced next-generation solutions that fulfil a higher percentage of customers' bill of materials and command higher margins. Executing against that long-term strategy now sets us up for profitable growth in several ways. First, we have an impressive list of logos for a company of any size with all the Tier 1 wireless carriers, AT&T, Verizon, T-Mobile, DISH. In addition, we provide products and solutions to some of the nation's largest providers of communications infrastructure, including Crown Castle, American Tower, and many others. We service many of these customers both directly and through our large national distributors. What's important is that, we didn't have many of these logos a few years ago. To get us a seat at the table with these customers, it took significant business development effort along with transformative acquisitions that offer high value differentiated products and solutions that address more of their current needs and future needs. For example, six years ago, many of the Tier 1 wireless customers didn't want to talk to us about products like coaxial jumpers, but they were interested in more advanced items like our Optiflex hybrid fiber offering. To drive consistent long-term and profitable growth, we needed to add more key solutions like that. As we began to add more leading edge products like DAC thermal cooling and small cell shrouds, we found that these new offerings got us involved in design discussions sooner and pulled through many of our other product lines. These products became the tip of the spear for RFI to become a qualified vendor and deepen our relationships throughout the organization, even to the point of now providing some of those coaxial and fiber jumpers. Second, there's a real value in building strong and lasting relationships. Over our history, RFI had been customer-centric and we have a stellar reputation for being great to work with, attentive to details and committed to on-time delivery. Customers gravitate to no-drama partners. Satisfying customers is part of our DNA and it provides the foundation to leverage our existing customer relationships, as well as attracting new ones. Third, we take pride in our reputation for delivering quality products. We've gone to great lengths to ensure our products are top quality. And that means producing finished goods right here in the USA. Like most companies, we source globally, but there's a reason we have almost 300 people in the United States building our cable assemblies and integrated products. It's about quality control. In the past, we tested out other locations, but decided that for certain products, the quality risk was too great and ultimately too costly as it meant losing customers that we fought so hard to win. Now there's a major trend underway to reshore manufacturing back to the U.S. We just saw the benefits of employing a skilled local workforce earlier than some others. So when I look at the big picture, I'm excited about our future. While fiscal 2023 results did not meet our expectations, the decline in carrier CapEx spending was more severe than expected and beyond our control. However, continuing to streamline operations to drive profitable growth was within our control. By consolidating our production facilities and reducing redundancies from acquisitions, we decreased annual operating expenses by approximately $2.5 million. We believe there's still room for improvement, given our ongoing effort to offset inflationary costs, like insurance, logistics, and material costs, which are significant expenses that keep climbing. RF Industries is now a leaner and more efficient operation that positions us to reap future benefits of our transformation. As I mentioned earlier, we're seeing increased discussions for larger projects deploying our higher margin solutions. With our lower cost structure and the related increased operating leverage, even a small shift to a higher margin product mix would generate improved results, especially on a year-over-year comparable basis. While this current environment is not going to change overnight and our fiscal first quarter is seasonally our most challenging, we can foresee momentum building in 2024 and beyond for several reasons. We have the right products at the right time, densification continues to be a significant challenge in 4G and 5G build-outs, and wireless carriers are recognizing our next-generation small cell shrouds and our Microlab RF passes for their advanced technology, reliability, and ease of use. All communications installations require some approach to cooling the equipment, and we believe that our DAC systems are far superior in performance and cost efficiency than other approaches. As communications companies cycle through their operations and maintenance schedules, replacing yesterday's cooling systems with next-gen products is a sound business decision. We continue to see interest in Optiflex, our high-quality and innovative line of hybrid fiber and power cables, which have been key contributors to our growth over the last few years. We're working hard to diversify the customer base and end markets that we serve. In fiscal 2023, 43% of our total sales came from wireless carrier applications, while 57% of our sales came from customer applications across diverse end markets like manufacturing, public safety, energy, hospitality, education, and medical. And roughly 50% of our sales were through our distribution channels. We continue to explore opportunities with new customer segments, such as the major cable companies. Right now, we have a pilot program for our DAC system on a dozen or so cable company sites. This could develop into a meaningful piece of business over time, and it can also open the door to more cross-selling opportunities. Our core interconnect products with high quality and fast turnaround times continue to build our strong reputation with our channel partners. This standard in custom interconnect offering is sold to a diverse set of customers and provides a steady base of business. And I don't want to leave out the steady resilience of our custom cabling and wire harness products and solutions, which we sell into many industrial and manufacturing applications with blue chip customers. When you combine our cutting-edge products and capabilities with our core coaxial and fiber interconnect solutions, our custom cabling products, and our integrated systems, we've carefully and strategically developed a pretty amazing portfolio of leading edge products and solutions for multiple market segments, beyond the communications industry. Heading into 2024, given our expected additional operating efficiencies and expenditure reductions and the ability to increase revenues, we are well positioned to enter a new phase of solid organic growth. We will also continue to manage our working capital to solidify our liquidity, cash position, and overall capital structure. While our first quarter is seasonally our most challenging and timing of orders and the related supply chain isn't always predictable, I'm excited and optimistic about our opportunity to deliver the margin expansion and cash flow throughout the year that will create long-term value for our customers. In closing, I'd like to express my sincere appreciation to every member of our team for their efforts and contributions in serving our customers and building our company as we continue to execute our long-term growth plan. I also want to acknowledge the ongoing support of our shareholders. 2023 was a rough year for RFI and for micro-cap investors overall, but we're starting to hear more positive sentiment for 2024. The valuation differential against the broader market is becoming more compelling, especially with inflation finally cooling and interest rates stabilizing. To paraphrase the late, great [Charlie Munger] (ph), basically all investment is value investment in the sense that you're always trying to get better prospects than what you're paying for them. I'm proud of the work our team did this year in managing through a challenging year and significantly improving our future prospects for profitable growth and value creation. I remain confident that we have the right business model, the right products, and the right team to capitalize on momentum as carriers spending returns. Now, I'll turn the call over to Peter to discuss our financials. Peter?
Peter Yin: Thank you, Rob, and good afternoon, everyone. As Rob mentioned, we're pleased that our actions to streamline operations and reduce expenses are having a meaningful impact. As a leaner and more efficient operation, we are well positioned to drive profitability as the demand environment improves. As I move through our financial results, I will highlight where we saw significant improvement from Q3 to Q4, which we view as a positive indicator for better performance in fiscal 2024, with the caveat that first quarter has historically been our seasonally slowest period. Fourth quarter sales were $15.9 million, a decrease of $7.1 million, or 31% decrease year-over-year and flat on a sequential basis. For the full fiscal year, sales decreased $13.1 million or 15% to $72.2 million. Fourth quarter gross profit margin decreased to 28.4% from 31.1% year-over-year. The 270 basis point decrease reflected the impact of lower sales and less leverage to cover certain fixed costs. Fourth quarter operating loss was $1.1 million compared to operating income of $715,000 in the prior year period. Our net loss was $851,000, or $0.08 per diluted share, and our non-GAAP net loss was $68,000, or $0.01 per diluted share, compared to a net income of $451,000 or $0.4 cents per diluted share and our non-GAAP net income of $1.5 million or $0.15 per diluted share for Q4 2022. Fourth quarter adjusted EBITDA was negative $108,000 compared to positive adjusted EBITDA $1.9 million for Q4 2022. On a positive note, sequential gross profit margin increased 400 basis points to 28.4% in the fourth quarter even on flat sales. Our operating loss improved by $900,000 from a loss of $2 million due to favorable mix of higher margin products and reflects our efforts to drive cost savings and operating efficiencies. Full fiscal year adjusted EBITDA was $460,000 versus $6.6 million in fiscal year 2022. The decrease was primary due to lower sales volume and a less favorable product mix that we experienced throughout fiscal 2023. Moving to the balance sheet, as of October 31, 2023, we had a total of $4.9 million in cash and cash equivalents, and we had working capital of $23.5 million and a current ratio of approximately 2.9 to 1, with current assets of $36 million and current liabilities of $12.5 million. As of October 31, 2023, we had borrowed $13.1 million under our term loan and $1 million from our revolving credit facility. Our credit facility is secured by certain assets of the company and subject to certain loan covenants, including financial covenants. In the past, we successfully negotiated amendments to the credit facility relating to such financial covenants. As Rob mentioned, we continue to manage our working capital to solidify our liquidity, cash position, and overall capital structure. We continue to explore our best options for overall financing and our related credit facility. Our inventory was $18.7 million, down from $21.1 million last year. The decrease in inventory reflected our continued rationalization and right-sizing of our inventory to address the lower demand level we experienced in 2023. We believe our current inventory level supports our strategic business model of inventory availability, and we continue to manage this closely as we expect to see increased demand in 2024 as CapEx spending gradually normalizes over the coming year. While we believe there is room for us to continue to rationalize our inventory to help our cash flow and liquidity, there may be opportunities for us to take market share and win new business by increasing certain inventory levels that have much longer lead times. Additionally, any supply chain delays around some of these long lead time items may impact certain project timeliness. Moving on, we are seeing momentum build around new business. As Rob mentioned, our backlog as of October 31 was $16.1 million on fourth quarter bookings of $14.8 million, and as of today, our current backlog stands at $16.6 million. As we begin our new fiscal year, we are seeing encouraging signs. We anticipate that the market will continue to recover as Tier 1 wireless and telecom companies increase their capital spend and we continue to diversify our offering and our customer base. We're excited about our ability to drive top line growth and generate profitability through larger projects and higher margin solutions. This concludes our comments. Operator, we are ready to open the line for questions.
Operator: Certainly. Everyone, at this time will be conducting a question-and-answer session. [Operator Instructions] Your first question is coming from Josh Nichols from B. Riley. Your line is live.
Josh Nichols: Yes, thanks for taking my question and good to see the healthy sequential improvement in the gross margin. I know you talked a lot about how the company's been optimizing some of the OpEx spend. Is this fiscal fourth quarter kind of a good run rate for how we should be thinking about this coming year? Are there additional kind of cuts to make that you think could further drive the bottom line?
Rob Dawson: Yes. Hey, Josh. Good question. Thank you. Yes, I think you can use Q4 as sort of a gauge of what we're going to look like going forward. I think there was a handful of one-time compensation-related charges in the quarter that are not going to recur, but at the same time, we're continuing to look for other ways to take out additional costs and we're trying to offset things like just general inflation on things like insurance. So it's -- give or take, you're kind of in the right spot there. I think we expect our quarterly OpEx to move in the -- calling from between $5.2 million and $5.5 million-ish is sort of the range that I would expect it to move around in depending on the quarter.
Josh Nichols: Great. And good to hear. I know some of these like higher margin items, DAC small cells, things like that, that's kind of been pushed out for the last couple of years, just as like a frame of reference, like any idea, like was that a material piece of revenue in 2023, or what gives you confidence that you think that you're going to see a nice pickup there because that could definitely drive the gross margin and the bottom line materially higher given the margin profile of those items?
Rob Dawson: Yes, I think in 2023, I wouldn't call the contribution from those product lines material. It was a -- there was a reinvention of some of those product lines over the last few years and getting them back into the market. And then the timing of carrier spend related to that just slowed way down or stopped depending on the carrier. So I think part of it is, we used the last few years to get in position with the right products and get the right approvals and on the right spec lists with what we think the right customers. And we've already seen indications of those product lines moving forward with some of these proposals that have been out there in the pipeline for a long time, have in some cases moved, in other cases they've moved far enough that it's actually closed business and we've added that to our backlog or shipped some in a few cases. So, just the indication of that is better than what we were feeling over the last year. I think the telling part for us will be our expectation that our backlog should go up in coming months here with some of these larger projects finally hitting. So the confidence for us is less about being hopeful and more about seeing the actual tangible sales pipeline and those conversations with the customers materializing into purchase orders.
Josh Nichols: And you kind of mentioned it in the release and also on the call. So it kind of sounds like you're incrementally more optimistic that you're going to see carrier spend go up a bit this year, but also spend in some of the higher margin areas. So while sales are probably down quarter-over-quarter in the first quarter, just because seasonality effects, but you expect for the full year that organically you have sales growth for this coming year?
Rob Dawson: Yes, I think that's right. It's hard to -- I mean, it’s to predict our first quarter even with a week to go because so much of our business is book and ship and that can turn on a dime. Projects can be -- shipments can be delayed or accelerated also and it doesn't take a large amount of money to shift our results fairly materially in a quarter. So yes, as the year kind of moves on, we feel like starting to deploy some of that, almost $17 million in backlog. It's been sitting there for a while. A lot of that stuff has not moved out of the backlog in several quarters. So I think our expectation that we've got that solid backlog will help us and the new orders flowing in, we certainly feel better as the year gets going. And, again, our first quarter, November, December, January, is three tough months to throw into a fiscal quarter, especially when a large part of the recovery for us is around carrier spend, which generally doesn't, -- usually doesn't start right away on January 1. You see them placing orders in December and January for shipments to occur a little later into the typical build season, which would be early spring kind of beginning time. So that's why we feel better about overall, kind of as the year goes on, but just generally that's kind of the cycle for these kinds of product lines.
Josh Nichols: Thanks. And then last question for me. I guess if you had to kind of handicap it based on what you're seeing for the increased interest in some of the higher margin products, because that's been kind of on the come for a bit now. Like, what would you expect, at least like 5% or 10% of revenue to hopefully come from that or do you think it could be materially higher for this year? I know it's not an easy question to handicap, but if you want to open--.
Rob Dawson: Yes, I think we'd be disappointed if it wasn't materially higher than that.
Josh Nichols: Great, thanks. I'll hop back into queue.
Rob Dawson: Okay, thank you.
Operator: Thank you. Your next question is coming from David Wright from Henry Investment Trust. Your line is live.
David Wright: Rob, Peter, good afternoon.
Rob Dawson: Hi, David.
Peter Yin: Hi, David.
David Wright: Just can you put it -- kind of quantify what large perspective order or larger products that you mentioned in the press release, give us a range of what a large -- a larger order value is?
Rob Dawson: Sure. Yes, so I think that the product lines that drive that, we have our Optiflex hybrid fiber, which is -- those items are, call it, $3,000 to $6,000 per unit. That's kind of the same range that you would see with a DAC and a small cell offer as well. You're looking at per unit, $3,000 to $6,000 or $7,000 each. It could be a little higher depending on the configuration. A large order there is something for us, order of magnitude of, call it $300,000, could be an order all the way up to $2 million or $3 million at a time. Really dependent upon how a customer decides to order. If they place a blanket order for a full year worth of deployments, you'll see something more in the few million dollars. If they're placing a regional and/or first quarter, second quarter, third quarter sort of placed independently, you'll see orders that are more broken up into, call it, $200,000 to $500,000 at a clip.
David Wright: Okay. Well, thanks for putting some context there. A couple for Peter. In the non-GAAP reconciliation, you've got the one category that is acquisition related to another one-time charges. I noticed you had something in the fourth quarter, and the question is, do you have -- are you still having any acquisition-related charges? And if so, what are they?
Peter Yin: Those are more one-time-related charges related to [Move] (ph) and [indiscernible] acquisition and related other one-time charges probably more for the 2022 timeframe and 2023 was more one-time charges related to our Move and there were some -- as we went into the Move due to timing up when we took possession of the buildings, there were some accounting leases that we had to do some expensing for.
David Wright: Okay. And so you were pretty much through that now?
Peter Yin: Correct.
David Wright: Okay. And then the other question is, I notice you are into the line of credit here at your end. Can you talk about how you look at the interplay between cash on the balance sheet and use of the line? What makes those two fluctuate?
Peter Yin: Sure. Yes, this is just maintaining a certain level of cash to operate the business from a week-to-week basis. We're always considering paying down the revolver versus keeping cash on the books to minimize the interest charge. But it's a dynamic kind of topic that we looked at and we assessed that kind of week-to-week, month-to-month to determine if there's anything we can use to pay that down to help save some of the interest versus keeping cash on hand and just operating the business.
David Wright: So based on kind of your outlook for the year, do you anticipate using much more of the line of credit?
Peter Yin: With current cash on hand right now, I don't think we have any plans to draw against the revolver in the near future.
David Wright: Okay. Well, thanks for taking my questions and good luck here in your new fiscal year.
Peter Yin: Thanks, David.
Rob Dawson: Thank you.
Operator: Thank you. [Operator Instructions] Your next question is coming from [Ethan Star] (ph). Your line is live.
Unidentified Analyst: Thank you. As you work to diversify your customer base, are you primarily focused on selling existing products to new customers or developing new products to sell to both existing and new customers?
Rob Dawson: Yes, thanks, Ethan. So, a little bit of both. I think we're probably more at this point focused on the existing portfolio of products into not just our existing customers, but expanding our customer base market-wise and also in the markets where we already play. We've spent a lot of time and money over the last few years redeveloping and/or relaunching the product line. So while we always have some new products coming to market, I think the expectation of our offer today is that, it's the right offer, and we've got to get it in front of not just our existing customers, but additional as well.
Unidentified Analyst: Okay, if I think if I heard correctly with the introductory remarks, you said it's about a 57% to 43% split with, I guess, 43% being roughly telecom. Do you have a goal in mind to at least further reduce your telecom dependency?
Rob Dawson: Yeah, it's a fair question. It's an interesting interplay between those results. I think our biggest upside from a large CapEx spend is generally the wireless or telecom marketplace. So large orders coming in will likely be in that bucket which will drive it up even more into the wireless carrier space. I think we're going after both new market segments and we play a lot of market segments that don't get as much notice because their CapEx isn't as clear and as obvious in these wild upswings that we see when there's large carrier spend. So we don't necessarily have a specific goal. We do have goals by account and by region that we go after that are more diversified across the customer base that include all the different applications.
Unidentified Analyst: Okay, that's helpful. Are you seeing any indications that Tier 1 wireless and telecom companies will be increasing capital spending?
Rob Dawson: I think -- so increasing in total is probably flat year-over-year. I think increasing in the areas of opportunity where we are much more relevant like densification in particular is really what we're seeing. So I think, yes, we're seeing that shift from the large macro site spend that usually is at the beginning of the cycle. There'll usually be a pause, which has been, in this case, a little longer and a little steeper of a pause than what we might like. As it's coming back, we're seeing more of that spend dedicated to things like small cell and other more street level densification. So yes, we're certainly seeing that both in conversation around what that CapEx looks like, but also in the kinds of products that are being ordered.
Unidentified Analyst: Okay. And my last question, to what extent will the $2.5 million reduction in operating expenses drop to the bottom line in 2024?
Rob Dawson: Yes, so during 2023, I would have told you, it was all going to drop through. I think we've had to offset some inflationary pressure on certain things, specifically things like insurance and some logistics costs. So we think probably 75% or 80% of it should fall through, but we are offsetting some things that have kind of shown up over the course of that year, which is why we're very focused on not having it be a one-time effort. We're driving additional opportunities to take out more cost in some of the same places we already hit, but also some new and additional kind of ongoing places as well to help us get as much of that falling through as possible.
Unidentified Analyst: Great. Thank you very much.
Rob Dawson: Thanks, Ethan.
Operator: Thank you. Your next question is coming from [Steve Cole from Mangrove] (ph). Your line is live.
Unidentified Analyst: Good afternoon, guys. Rob, a couple of quick questions. If you look at the backlog that we have now, can you provide a little bit of color on what the margin -- the booked in margin is of that backlog? Forgetting about fixed cost absorption when it comes out.
Rob Dawson: Yes, I think it's hard to be specific on that, because in many cases we don't see the final margin until we've finished building some of those products and gotten them out the door. But I think the blend there, a lot of that's been sitting there for a while too, Steve. So I think the blend in there is going to kind of be in line with our historical levels. As we add to that, we expect the margin profile of the things being added to be higher margin.
Unidentified Analyst: Okay. And just turning back, I saw Microlab, you provided a year number of $17 million and change. Can you maybe turn the clock back a little bit and tell us how is that acquisition performed from when you bought it to where we are today? And if I remember right, we have a reasonable project-oriented component that moves that number up and down, is that still the case and that's why it flexes from that 20-ish level on to the high teen.
Unidentified Analyst: Yes, I think what you see is, when we bought it the trailing 12 months was a little under $17 million. We ran that up sort of immediately. There was some great things that they had in their pipeline and some new things we landed. That pushed that business up over the next three or four quarters to a higher level, north of $20 million annualized. Then you're right with what you said around the project-based portion of that business. Large venues in particular, so stadiums and other large venues where there's wireless deployments happening, is a pretty meaningful upside for that business. And that was caught up in the same reduced spend that kind of hit some of our other product areas in the last year. So, I think it's performs, I'll say, wildly, depending on the quarter. Some are great and some are a little under our expectations. We expect that to get back -- with carrier spend recovering, we expect some of that to benefit us on the Microlab side. And we have added some additional products there as well that are more focused on small cell deployments and some more enterprise-level deployments that are not so carrier-focused and carrier-backed from a spending perspective. So trying to diversify that product line a bit as well to address some sort of parallel markets at the same time.
Unidentified Analyst: And we don't want to leave out Peter, but just a quick question on free cash flow. So when you're looking at the forecast for this year, I would expect given the cost reductions and the margin shift, even on lower revenues, we should be free cash flow positive this fiscal year. Is that right?
Peter Yin: Yes. It depends on the sales level, but we expect cash flow to be on the positive side if things pan out the way we expect.
Unidentified Analyst: Okay. Thanks very much guys. Appreciate the time.
Rob Dawson: Thank you, Steve.
Operator: Thank you. [Operator Instructions] Thank you. That concludes our Q&A session. I will now hand the conference back to Robert Dawson, CEO, for closing remarks. Please go ahead.
Rob Dawson: Thank you, Matthew, and thank everybody for participating in our call today. I think that might be the most number of questions by the most number of people that we've had in six and a half years. So I don't know if that's a win or not, but I appreciate everybody asking the questions and the interaction. Please feel free to reach out if we can answer any additional questions, then we look forward to speaking to you again in a few months to release our first quarter fiscal 2024 results. Have a good day.
Operator: Thank you everyone. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.